Operator: Good day ladies and gentleman. And welcome to the PGT Incorporated Third Quarter 2014 Earnings Conference Call. At this time all participants are on a listen only mode. Later we will conduction a question and answer session and instruction will follow at that time. (Operator Instructions) I would now like to introduce your host for today’s conference Mr. Brad West, Chief Financial Officer. Sir, you may begin.
Brad West: Good morning everyone, and welcome to PGT's quarterly investor conference call. I'm Brad West, CFO and I'm joined today by Rod Hershberger, our Chairman and CEO; and Jeff Jackson, President and COO. This morning we are pleased to provide an update on both our third quarter results and the integration of CGI. Hopefully, everyone has had a chance to review our earnings release issued yesterday.  Before we begin, let me remind everyone that today’s conference call may contain statements concerning the company's future prospects, business strategies, and market outlook. Such statements are considered to be forward-looking. These statements do not relate strictly to historical or current facts, rather they are based on our current expectations and are subject to risk and uncertainty. Actual results may vary materially from those contained in the forward-looking statements. Please refer to our press release, our most recent Form 10-K and other documents filed with the SEC. We undertake no obligation to publicly update or revise any forward looking statements. A copy of our press release is posted on the Investor Relations section of our corporate website at www.pgtindustries.com. Included in the press release are the unaudited condensed consolidated balance sheets and statements of operations prepared in accordance with GAAP and adjusted information, which was quantitatively reconciled to GAAP. Our company uses non-GAAP measurements as key metrics for evaluating performance internally. A detailed explanation of these non-GAAP measurements can be found in our press release, which was included as an exhibit to our Form 8-K filed with the SEC. These non-GAAP measurements are not intended to replace the presentation of financial results in accordance with GAAP. Rather, we believe these non-GAAP measurements provide additional information for investors to facilitate the comparison of past and present performance. We will provide an overview of our performance for the third quarter of 2014, after our prepared remarks, we’ll have ample time to address any questions that you may have. With that, let me turn the call over to our President and Chief Operating Officer, Jeff Jackson. Jeff?
Jeff Jackson: Thanks Brad. Good morning everyone third quarter has been an exciting time for us at PGT as we finalize the acquisition of CGI windows and doors, at window and door manufacture with operation based in Miami, Florida. And we opened our new glass facility at the end of the quarter. The acquisition of CGI increases our leadership position and the impact resistant window and door industry strengthen our ability to compete against national suppliers by diversifying our product offering and increasing our reach to the high end segment of the impact resistant market. CGI will remain a separate and distinct brand in the marketplace and will continue to operate in Miami, Florida. They combined an equal leverage back in synergies and best practices to provide incremental value to all stake holders. The acquisition was funded by $200 million term loan which was used to fund the acquisition pay off our existing debt and pay fees associated with the acquisition. We also completed the construction of our new state-of-the-art glass facility. This facility is approximately 96,000 square feet and currently includes equipment to increase our capacity for both tempering and cutting. We began operations near the end of the quarter and have additional equipment ordered to increase both insulating and laminating capacity in the first half of 2015. During the quarter, sales came in at $77.3 million 19.2% over the third quarter of 2013. This improvement was fueled by continued focus in our core market as well as an improvement in the market conditions and new construction industry. We continue to shift and mix as new construction sales grew 47% over prior year and represent a 39% of our sales during the third quarter. This compares to 31% last year. Our sales within in the repair and remodeling market grew 5% over prior year. Within the quarter R&R was flat in July and August but up 13% in September. We continue to see our R&R sales grow as we entered into the fourth quarter with October sales up over prior year as well. Sales of impact product grow up 19% over the third quarter of 2013 and represented 78% of our sales. In addition, sales of non-impact product grew 18% over prior year. Our quarterly sales included the total for CGI sales for the last five days of the quarter ended September 27, 2014. During this period, CGI generated approximately $550,000 in sales with an EBITA margin of 22.3%. Gross margin dollars increased $2.6 million or 12.4% over the third quarter of 2013 after adjusting was cost related to completion new glass facility. However, during the quarter we did continue to experience pressure on our gross margin as a result of increased material primary related to purchase finished glass unit to support our sales in excess of glass capacity and increased aluminum cost. Our margins were also impacted by shift in mix towards new construction to address our margin results in the fourth quarter we expect to purchase less outside glass unit which we believe will have a favorable 80 basis points impact during the quarter. Additionally, we have recently announced a price increase for PGT branded product, which will be affected for the first quarter of 2015. That price increase will range between 3% and 7% based on the product type. This increase helps offset recent increases we have experienced in such areas as healthcare and materials including aluminum, I mentioned above. During the quarter, our aluminum costs are running $0.91 per pound versus $0.90 per pound in the third quarter and $0.85 of pound a year ago. We continue to leverage our selling, general and administrative expenses. After adjusting for the cost related to acquisition of CGI, SG&A decreased to 16.5% of sales compared to 20.8% in the third quarter of 2013. We expect this leverage to continue as we selectively add cost to our structure to support our significant sales growth. Net income for the quarter was $6.2 million after adjusting per cost related to acquisition and related debt financing as well as startup cost related to our new glass facility. This compares the $6.4 million in the third quarter of 2013. In this year’s net income, the impact of income tax expense adjusted for the same items discussed above total $3.7 million in the quarter. We did not record significant tax expense a year ago in the third quarter. Our adjusted EBITA was $12.1 million or 15.6% of sales. This is a $1.8 million or 18% increase over the third quarter of 2013. Adjusted EBITA for the first nine months was $34.2 million or 15.4% of sales representing an increase of $5.9 million largely resulting from higher sales. With that summary, I’ll turn the call back over to Brad who will review the quarter in greater detail. Brad?
Brad West : Thank you, Jeff. As Jeff mentioned, we reported sales of $77.3 million up 19.2% over prior year which represented our highest third quarter sales since 2006. We finished the quarter with adjusted EBITA of $12.1 million representing 15.6% of sales. Breaking down our sales drivers compared to 2013 third quarter, we have WinGuard sales of $55.4 million versus $47.1 million, an increase of $8.3 million or 17.6%; Vinyl non-impact sales of $10.3 million versus $8.3 million up 24.1% over prior year; Aluminum non-impact sales of $7 million versus $6.3 million up 11.1%; PremierVue sales were $2.0 million versus $1.6 million, an increase to 25.0%; Architectural System sales of $2.1 million versus $1.6 million, an increase of 31.3% and CGI sales were $552,000 between September 23 and September 27. Gross margin dollars increased $2.6 million or 12.4% for the third quarter of 2014 after adjusting for cost related to the completion of the new glass facility. However, as a percentage sales adjusted gross margin was 30.4% versus 32.3% of third quarter of 2013. Our decrease in gross margin as a percentage of sales of 1.9% was driven by, a shift in mix towards new construction reducing margins to 120 basis points. The cost of purchasing finished glass unit from our third party supplier to meet the demand from sales growth negatively impacted margins by 110 basis points. Employee and other related cost and connection with the higher sales base negatively impacted margin by 70 basis points. And the cost of aluminum extrusion [ph] in other materials which negatively impacted margins by 40 basis points. These factors were offset by the impact of the price increase announced at the end of the third quarter 2013 and leveraging our fixed cost and higher sales which improved margins by 100 basis points and 50 basis points respectively. Our new glass facility specifically designed to increase our internal capacities for finished glass units. We estimate that this initiative will improve our margins by approximately 1% in the fourth quarter and 2% in 2015 on average. However, the actual impact will vary from quarter to quarter based on top line sales and internal capacity which increase with installation of our laminating and insulating equipment in the first half of 2015. With regards to aluminum, our average cost of aluminum was approximately $0.90 per pound during the quarter that comprised the both spot purchases for approximately 66% of our need and hedge purchases were 34% in our needs. This compare to the third quarter weighted average of $0.85 per pound in 2013. As of today, we are head to approximately 34% of an estimated need to the fourth quarter 2015 at an average of $0.90 per pound and current cash price is $0.91 per pound. Our aluminum forward contracts have been entered into the managed of our cash flows. However, these contracts did not qualify as effective as such the impact of these hedges are recorded in other expense on our income statement rather than a component of gross margin. We leverage revenue growth during the quarter to reduce adjusted selling and general, administrative expense as a percentage of sales was 16.5% compared to 20.7% in the third quarter of 2013. Our selling, general and administrative expenses were 12.8 million after adjusting for the acquisition cost, a decrease of 600,000 from the third quarter 2013 after adjusting for last year’s secondary offering. Highlights within our SG&A include a decrease in amortization expense of 1.6 million as our amortized loan intangibles were fully amortized during the first quarter of 2014. This is offset by an increase of $900,000 in selling and distribution cost consistent with our sales and an increase of $100,000 in an employee related cost. Interest expense was $1.0 million compared to $1.1 million in the third quarter of 2013. This decrease from prior releases a lower outstanding debt level prior to that refinancing near the end of the third quarter going forward we anticipate annual interest expense to range between $11 million and $11.5 million. This includes the impact of our new outstanding term loan of $200 million and its interest rate of LIBOR plus 425 basis points with 100 basis point four. Depreciation and amortization recorded in the third quarter was $1.2 million compared to $2.8 million last year. Going forward as a result of the inquired intangible and depreciation related to the new glass facility, quarterly depreciation and amortization expense in the fourth quarter as well as 2015 is expected to be approximately $2.6 million. Our cash expense in the third quarter was $1.7 million which represent an effective income tax rate of 42.1% which is higher than a statutory rate of 38.8%. The rate is higher than statutory rate mainly to the impact with acquisition cost and acquired net operating losses which reduced the estimated favorable impact of the section 199 deduction in 2014. We reported minimal tax expense in the third quarter 2013 and we currently estimate our going forward tax rate to be between 38% and 39%. We had net income in the third quarter $6.2 million or $0.12 per diluted share versus $6.4 million or $0.13 per diluted share in the third quarter of 2013 after adjusting for the expenses related to the acquisition debt refinancing and the new glass facility. This adjusted net income of third quarter also includes the impact of $3.7 million in tax expense from operations. As a reminder, we recorded minimal tax expense in the third quarter of 2013. Adjusted EBITA was $12.1 million for the third quarter of 2014 compared to adjusted EBITA of $10.2 million in the third quarter of 2013. The increased in adjusted EBITA of $1.9 million is due primarily to $2.8 million attributable to increase volume and $1.1 million from our price increase announced last year. Offsetting these increases was an increase in material cost of $1.1 million due to the increase of cost and materials including the purchase of finished glass units related to certain capacity constraints, an increase of $600,000 from employee related cost and then $300,000 from increase cost in aluminum and other material. A reconciliation net income in EBITA which I have just discussed has been included in our earnings release for your reference. Turning to the balance sheet, to revive [ph] our position, we have developed strong relationships with our customers our DSOs were 31 days at the end of the third quarter 2014 which is a decrease from 22 days at the end of third quarter of 2013. Our inventory turns excluding the impact of acquired inventory are 12.8 in the third quarter of 2014 that’s an improvement from 10.9 at the end of the third quarter of last year we’ve been able to keep inventory level and check as we grow. In connection with the acquisition of CGI the following items were acquired totaling the purchase price of approximately $110.4 million amortized of intangibles of $26.3 million and definite live intangibles specifically trade names of $19.0 million; networking capital of $3.2 million; property, plant and equipment totaling $1.7 million; differed tax assets of $7.2 million related to acquired NOL and a differed income tax liability $13.5 million relating to the non-deductible portion of acquired intangible. The remaining unallocated purchase price of $66.7 million with recorded as good will. Our free cash flow for the quarter was $4.3 million mainly driven by EBITA excluding non-cash items such as stock compensation of $12.3 million. Decrease in working capital of $1.5 million, capital additions of $6.6 million namely associated with glass plant expansion cost related to the acquisition of $1.5 million and start-up cost weight to the new glass planned of $300,000 and finally cash paid for interest and taxes which is $1.0 million. Our cash ending balance for the quarter was $43.7 million which include the impact of the items mentioned before as well as net proceeds from the refining of $5.3 million. Capital expenditure in 2014 are expected to be approximately $19 million to $20 million of which $12 million relates to our new glass facility. Next year consolidated capital spending were ranged between $15 million and $20 million including regular maintenance capital spending $5 million to $7 million and spending related to additional glass capacity yet to be finalized another growth related items. Economic conditions in the fodder market should remain strong, which will continue to drive year over year sales growth in the fourth quarter. We anticipate this growth will continue both organically and as a result of the CGI acquisition. Sales from PGT products were ranged between $70 million to $72 million which represent an increase of 13% to 16% over prior sales for $62 million and sales from the newly acquired CGI products were ranged between to $11 million to $12 million resulting in a consolidated sales between $81 million and $84 million. At this time I will turn the call over to our CEO, Rod Hershberger for some remarks.
Rod Hershberger: Thanks Brad. Third quarter of 2014 was both an exciting any about for one. New constructions sales have grown over 47% for the sixth great quarter this displayed a flat single family start environment now projected to finish at $54,000, which is in line with the previous year. Our acquisition of CGI combines two companies with long history of success in the impact resistant window and door industry. We are off to a great start welcoming the CGI employees into our family and we have been impressed with their dedication to quality and commitment. Looking ahead, our new glass facility is operational and we expect to capitalize on the efficiencies that it will provide. We have continued to invest in our employees as we have implemented strategic initiatives in training and development. We’ve also hired strong industry talent externally to help lead us into 2015. We are eager to see the impact of these initiatives and believe additional opportunities exist to lower our operational cost and leverage them with incremental sales. With regards to CGI opportunities exist to both diversify and broaden our product portfolio as a result of the acquisition. We also expect to realize significant cost savings related to materials, operating expense and other items. These synergies should reach a total annual amount of approximately $4 million to $5 million when fully realized ramping up in 2015 and reaching full potential in 2016. This will strengthen our industry leading margin and will position us to aggressively drive top line sales and take additional market share. I am thankful for the dedication and effort put forward by all of our employees who have worked hard to help this realize our strategic initiatives. With that I’ll conclude and we’ll be happy to answer your questions about our results for the recent acquisition. Amanda if you could get the first question please.
Operator: (Operator Instructions) And our first question comes from the line of Robert Wetenhall from RBC Capital Markets. Your line is open sir.
Robert Wetenhall - RBC Capital Markets: Hey good morning and thanks for taking the question. I was hoping that Rod you’ve been in the business for long time could you just tell us how you are thinking about the recovery now. And it could breaking it down between new construction of fodder [ph] repair remodel and co-driven opportunities just speaking to that both into the year end and what you are thinking about 15 with CGI just trying to get an better understanding of you are thinking about top line growth for the business in the next couple of years.
Rod Hershberger: Yes I don’t know if I can really express my excitement through the phone as well as I’d like to, it’s funding in this market again. And we are from a company perspective I guess I’ll hit a couple of different point, new construction were taking significant share in the new construction market. Because new construction starts are not that but where we are right now at 54,000 starts is about half of where we should may be, even not quite half of where we should be, to really have a good recovery market I am not going to predict that we’re going to get there next year so we’ve got a couple of years to run on the new construction side. We’ve seen a little bit of flatness in the R&R side of the market but we’ve got initiatives in place so we’re taking some share there even though the markets been flat we grew substantially on September and we’ve got initiatives in place to continue growing at 5% to 7% for the remainder of the year on the R&R side. CGI has got a great product mix they’ve been into our portfolio well. Our customers are excited their customers are excited I think we could serve the market much better by hitting that. We look at that as we -- we call it the upper right hand side of the market kind of great product and lots of features and lot of touch points and we both hit that market really well. So we think that’s going to grow, we’re investing and we are investing a lot and making sure that we’re ready for that growth we’ve come through that long down period where was tough for us after really going through about 25 years of growth to have to deal with about five or six years of this down turn and trying to make sure we’re running things correctly now we’re back to those growth ideas again so we’re pretty excited, we put a substantial investment in our glass plant. We will continue to invest in the glass plant and making sure that the capabilities are there to produce glass because we have a substantial savings. So as an organization looking at the future and not looking at Q4 and even necessary the first half of next year we’re really excited about where the state is going and where we are going as a company.
Robert Wetenhall - RBC Capital Markets: That’s actually really helpful color and I was hopping Jeff maybe you could expand on just profitability in the EBITA margin line you’re kind a tracking 15% even best of the lot expanding glass production capacity sounds like sourcing externally will diminished. Given Rod’s outlook in terms of growth opportunities and the ability to leverage some fixed cost, working at 15% EBITA margin to go in the next year, in the next two years. Thanks very much.
Jeff Jackson: As you look in the next year and two year we are going to fully realize a benefit of our investment we’re doing in the third quarter and we’re going to continue to do in the fourth and first quarter of next year in terms of the glass producing capacities we’re expanding that because we will want to make our own glass internally as much as possible especially given the upside in the margins. With that said we hired over 170 people just in the quarter loaned to start up this new facility. So as we continue to leverage that, leverage the top end brands Rod is mentioning I mean CGI margins alone are in the upper mid-20s we expect that to expand, we expect our own internal margins to expand and even in the third quarter results I’ll remind you that ourselves and margins are still industry pretty much industry leading. So, we definitely view the ability to get EBITA margins up starting as early as mid. I think mid 2015 into the upper teams and then ending out the year at that target 20 like we’ve put out there.
Robert Wetenhall - RBC Capital Markets: And so you are saying you could potentially hit a 20% EBITA margin by the fourth quarter in 2015.
Jeff Jackson: Yes,
Operator: Thank you. Our next question comes from the line of Jeremy Hamblin from Dougherty & Company. Your line is open.
Jeremy Hamblin - Dougherty & Company: Good morning guys and thanks for taking my question. I wanted to just get into the gross margins a little bit deeper, in terms of thinking about some of the dislocation between where expectations were and where you guys came out? So was there something that kind of shifted besides the spike in aluminum cost which is understandable and completely out of your control. Coming in at 30.4%, was there something else that occurred either in the production facility during Q3 that caused the margins to fall to the levels they did? I mean if I -- if I kind of understand it, you got about 120 basis points or so on mix shift. We know that you were buying a lot of outside glass in the quarter, we know about the Aluminum, but it feels like there maybe was also something in addition to that that would have caused the level to be down to where it is. And then well I'll stop with that now as to follow-up.
Rod Hershberger : Yes, I think just to clarify that product mix shift we had mix shift both in biennial [ph] mix shift and new construction mix shift and I'd take that closer to 200 bps in that area. But outside that, the remaining mix if you will, I'd take it related to mainly glass we did buy more glass externally than we had planned or wanted to based-off the volumes. That was several reasons drove that and most notably we did have some equipment down time both on our tempering and our cutters were down I'd say two to three days during the quarter that impacted us tremendously. We also unfortunately had some supplier material related issues that previously some bad supply and once you receive that it's hard to work it through the system it just -- a productivity factor if you will through the manufacturing process, we have to work through that as well. And then I'd say thirdly we did have the glass plant the new glass facility ramping up so when we try to capture the cost material cost associated with that, there is training there is on-boarding like I'd mentioned earlier we had over 170 people during the quarter added to that glass facility. So we've got a lot of inefficiencies associated with that. We also just as a reminder closed the CGI deal and acquisitions associated with that so we had a lot going on during the quarter that indirectly and directly would've impacted our margins.
Jeremy Hamblin - Dougherty & Company: Right, okay and so maybe just some of that wasn't -- when you guys had had your July call some of that wasn't anticipated at that time. Are you able to quantify some of the supplier disruption in that equipment downtime? Is that kind of like 70 basis points, 80 basis points, 90 basis points, 100 basis points?
Brad West: I think if you would've compared where we were at and where we were tracking to the second quarter and into July, I would say that I think our operational impact that Jeff referred to sequentially was about an 80 basis points hit. As we look forward I think it's going to take a couple of quarters to get that back into play, so the step that we're taking may help us call it 40 basis points the first quarter and next 40 basis points I'm sorry 40 basis points in the fourth quarter and then next 40 basis points in the first quarter.
Rod Hershberger : Hey Jeremy I'd just add that, I think this is pretty consistent with what we've said in almost every call that we've had that, when we have to make choices between this quarter and the future and particularly with the new glass plant ramping up and closing the deal with CGI that took a little more energy maybe then we anticipated going into the quarter but again looking into '15 and '16 it was the right thing for the company to do and we're pretty excited about it.
Jeremy Hamblin - Dougherty & Company: Okay and then let me think about this then as and just reconcile what you guys have said about 2015 and the opportunities to improve. So we have some leverage that you're going to get from not having to purchase as much outside glass but given their capacity constraint on lamination should we be thinking that in the first half of the year that that opportunity is a little bit lower because certainly by the time we get into the second quarter, if not at least a little bit in the first but certainly in the second quarter when you're seasonally higher you're going to be running into capacity constraints again and still have to purchase outside glass?
Rod Hershberger: Yeah, I mean that's a great way to think of it Cardinal is our outside glass supplier they're going to continue to be a partner with us especially during the peak months. We're actually currently going through that negotiation process now obviously Cardinal supplied all the CGI glass and portion roughly 15% of our needs this year so far. So it's a big business for them. Well it's not going to be adding us at CGI invest their volume it will be something for less than that, but at the same time we're going to still utilize Cardinal for those peak months. And that they've been a solid partner with us in the past and will be on a go-forward basis. In terms of actual, just to give you kind of an idea on fourth quarter for instance. In October, we did still buy external glass because again we got to have a glass plant up and running it's going well now but in November and December based off current volumes we're not going to buy any external glass on the outside. So that will fluctuate based off volumes and we will be adding that laminating capacity it will not be in play to a probably the second quarter, end of the second quarter of 2015.
Brad West : Yeah in the second quarter.
Rod Hershberger: So that will necessitate probably more glass outside need than we would like. But again you get the volume, make sure they have the volume coming out us and trying to meet those need in the future with additional capacity expansions.
Jeremy Hamblin - Dougherty & Company: Okay great. Well just one another quick thing and I’ll jump back in the queue. Brad on the amortization, depreciation and amortization that we should be thinking about going forward here, what was it, I missed the number.
Brad West: 2.6 million Jeremy.
Jeremy Hamblin - Dougherty & Company:  Per quarter.
Brad West: That’s combined.
Jeremy Hamblin - Dougherty & Company: Okay. How much of that is amortization?
Brad West: Amortization would be 1 million of that and rest of would be depreciation.
Jeremy Hamblin - Dougherty & Company: Okay and that will flow through into next year as well.
Brad West: Yes.
Operator: Thank you. And our next question comes from the line of Keith Hughs from Suntrust. Your line is open sir.
Keith Hughs - Suntrust : Thank you. You’ve referred to a new construction sales in the quarter and they’ve just been outstanding the entire year. Is there any way to tell, how much of the share gain is driven by taking share from other similar producers or how much is coming from all customer that would use mechanical type or annual type protection on the windows?
Rod Hershberger: That’s a tough question Keith.
Keith Hughs - Suntrust: That’s why I’m asking you.
Rod Hershberger : We think that more of its coming from taking share from our competition than from a switch that from active and passive protection. But I don’t know that I can give us an actual number.
Brad West : Its specially on the new construction side which was, you kind of opened it up Keith, with our growth, which you’re right 47% up in construction we continue to really take share in that market. That we definitely view is taking share from complication versus, active versus passive solution. However, the new construction has been geared more towards impact protection. Because is just a better known product now then it was back in 2006 when the latest kind a new construction boom was taken off. The impact product was relatively still new in this life cycle now that people know about it this next go round and new construction. We do see a little bit more demand for that upfront.
Rod Hershberger : The other thing too that might be interesting to note is new construction starts have been flat, but in the Southern Counties there are strongest counties Southeast, Southwest they’re actually up about 7%. So they’re up small amounts and I don’t know that I can say this for a fact but it looks like some of those new starts are may be a little bit larger construction then what we’ve seen for quite a few years. So we’re seeing a little bit larger house and then we’re just taken share away.
Keith Hughs - Suntrust: Third question you referred in the capital spending plans for next year and another glass plant coming online. Is that growing?
Brad West : Not another glass plant, the 96,000 square foot facility we’ve got now will house the additional equipment. That’s where we are going to be installing a new some additional equipment within the current brick and mortar.
Keith Hughs - Suntrust: Okay so it’s in the within, but it is an addition to the classy just brought on line here recently growing.
Rod Hershberger : Yes it is.
Keith Hughs - Suntrust: Is that therefore future growth as well as for potentially an integration with CGI or what you are feeling there.
Rod Hershberger : Yes I mean future of CGI business and our business and add them together we can meet that demand or that need with the current expansion. The current expansion was anticipated only our need the acquisition opportunity came up subs is good towards building our facility. Now we build up facility big enough for our growth as well so with the acquisition we’re just going probably be a year earlier maybe year and half earlier and expanding equipment in that plant than we had previously thought.
Brad West : Yes just for reference from time that you identify that you need the equipment you really spec it out and get footprint and laid out and place the order and install it; it’s about a year. So it’s not something that you can react to next month and put in place.
Operator: Thank you. Our next question comes from the line of Sam Darkatsh from Raymond James. Your line is open.
Unidentified Analyst:  Good morning this is Josh filling in for Sam thanks for taking my question.
Rod Hershberger : Hey Josh.
Brad West : Hi Josh.
Unidentified Analyst:  I wanted to follow up on some of the project pricing issue that we discussed in the first quarter when you were doing your foot in the door on some larger projects could you talk about whether you are seeing any benefits or additional wins coming through as a result of that pricing strategy and what are the pricing trends in general among your project business.
Rod Hershberger : Well we did see the, as you mentioned the large project pricing was a Q1 and Q2 kind of strategy and that strategy was employed to help gain some additional I guess relationships and sales within the multi story and commercial market. I do think it’s still little bit too early Josh to say whether we’ve seen some favorable results from that as you know we towards back half of the second quarter stop that is an aggressive strategy and went back to what we think is our appropriate pricing. We have seen some new construction in growth. And I’m sure some of that growth is within those areas. But I think it’s a little bit too soon at this point to be able to quantify and determine in pay back. Those projects generally take a while to complete. And then therefore often take a while to spec the second time around. So I do think will be able to talk about that a little bit more in the future but right now I think it’s little too early.
Unidentified Analyst:  Okay and how many shifts to CGI running right now.
Rod Hershberger : They run one full shift and a partial second on just a couple of the product line.
Unidentified Analyst: And yourselves.
Rod Hershberger : We are currently running three shifts probably 100% full on the first, 90% full on the second and 70% full on the third, on the assembly side. On the glass side we’re running 24/7 up until they open it up the new facility. That will take some pressure off of our current facility. You got to keep in mind we are running that current facility pretty much 24/7, we’re running to sale. So in my example earlier when a machine, we have an equivalent issue it’s really hard on the plan because we cannot recover from that very quickly. So with the added capacity that has come online at the end of the third quarter. So will be able to not run as much of a demand on what we had in the past.
Operator: Thank you. We have a follow-up question from the line of Jeremy Hamblin from Dougherty and Company. Your line is open.
Jeremy Hamblin - Dougherty & Company: Hey guys so just I wanted to ask a little bit more on the R&R business so it sounds like it was flat in July and August and picked back up in September. Is there anything in particular that you’re seeing that would be causing that kind of fluctuation I mean we always expected it to moderate to some extent but are you guys using some different promotional programs moving forward or how should we be thinking about that business also as it pertains to next year. I think you said you expect 5% to 7% growth in that channel this year in Q4. But how should we be thinking about that in 2015.
Rod Hershberger : I guess as you look at the third quarter that was kind of months that were essential flat. That was more of an industry kind of result if you will. We solve that in other building product companies where the R&R business was flat for those couple of month. And then in September I think it picked up for a lot of -- I’ve talked to several different building product CEOs and they experienced almost the same thing. So within Florida I think we have a little bit different of a nominee in terms of potential growth in R&R because we still have a lot of people obviously moving down and fixing up old homes. As you look into 2015, I do think you are going to continue to see a solid growth more than industry norm in Florida and I think we will continue to take share. We do run programs, various promotional programs through our marketing department to in sent sales of the R&R sectors with our dealers. We typically will run those during certain times of the year. So we are going be running one in the fourth quarter, as an example. We will run one before the spring selling season as another example you got think timing of when people move to Florida and live here. Now is that time a year they are here so we want to get out in front of them with the potential business to redo their house or condor or whatever it may be. And usually those programs run we get the business and that business is booked when there are no longer here near up North again. So there is a timing of those programs they are ramp and we have taking share in that R&R market.
Jeremy Hamblin - Dougherty & Company: You guys have always run that Q1 program. Is the Q4 an incremental program?
Rod Hershberger : We ran programs last year in Q4, it would necessarily just target R&R we ran a broad program both in new construction and R&R and it was more targeted towards certain dealers. This year I think we’ve targeted to R&R dealers only. And so it is more targeted this year then it was last year, but we did run a program in Q4 last year.
Brad West : Yes we’ll typically have a program or two as we saw on the shelf so if we need to pull it out and run a program and if we see something, if we see something changing in the market that we think we should address we’ll generally have a program that we can put in place pretty quickly to address those changes in the market and that really hasn’t changed in the last couple of years.
Jeremy Hamblin - Dougherty & Company: And then just one last one on CGI. What was CGIs Q4 sales last year and then as we look at the opportunity that seems like something where you could meaningfully grow that probably faster than the rest of your business just by getting some synergies and expanding their distribution into your broader network. Can you give me that Q4 number from last year Brad and then as I think about 2015? Is that a fair assumption for me to think that will grow with a rate is probably quite a bit faster than the rest of your business?
Brad West: Yeah Jeremy the Q4 number last year was about $8.8 million so the guidance that we will provide it for CGI to Q4 of a 11 million to $12 million represented by the 25% or 35% increase over the prior year.
Jeremy Hamblin - Dougherty & Company: Okay and then as we think about it into next year is that, I’m sure we shouldn’t be assuming those same kind of growth rates you’re seeing in Q4 but is it something that we would expected to be meaningfully higher than the rest of your business.
Brad West : I think the answer to that is yes, we think given the relatively small basin the potentially expansion of that dealer distributor network throughout Florida. The answer to that is yes you’ll see meaningfully higher than the main part of the PGT business.
Operator: Thank you. I'm showing no further questions at this time. I'd now like to turn the call back over to Mr. Bradley West for any closing remarks.
Brad West: Thank you for joining us today. We look forward to speaking to you again next quarter and if you have any further questions don't hesitate to give me a call. Have a good day.
Operator: Thank you. Ladies and gentlemen at this time this does concludes today's program. You may all now disconnect. Everyone have a great day.